Operator: [Foreign Language] Good morning. My name is Jessa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Boralex Inc. First Quarter Results Conference Call. [Operator Instructions] Mr.Stéphane Milot, Director of Investor Relations, you may begin your conference.
Stéphane Milot: Well, thank you, operator, and good morning, everyone. So welcome to Boralex First Quarter Conference Call. Joining me today are Patrick Lemaire, our President and Chief Executive Officer; Bruno Guilmette, Vice President and Chief Financial Officer; and other members of our management and finance teams. Mr. Lemaire will begin with comments about the key elements of the year and of the quarter. And afterwards, Mr. Guilmette will carry on with some financial highlights. We will then all be available to answer your questions. As you know, during this call, we will discuss historical as well as forward-looking information. So when talking about the future, there are a variety of risk factors that have been listed in our different filings with securities regulators, which can materially change our estimated results. These documents are all available for consultation at sedar.com. In our webcast, the disclosed results are presented both under IFRS and on a combined basis. The particularities of combined basis have been explained previously as well as the reasons why we use it. So unless otherwise stated, all comments made in this presentation will be referred to the combined basis figures. The press release, the MD&A, the consolidated financial statements and a copy of today's presentations are posted on the Boralex website at boralex.com. If you wish to receive a copy of either of these documents, please do not hesitate to contact me. Mr. Lemaire will now start his comments, so please go ahead.
Patrick Lemaire: Thank you, Stéphane. Good morning, everyone. Before getting into the estimation of our performance, I would like to say a few words about the nomination of Patrick Decostre, now our new Vice President and Chief Operating Officer. Patrick could not be with us this morning. He will officially start his new role at the end of July, and he will be moving with his family to Montréal. Until then, he will help the new head of our European operations for the transition. The COO will play a crucial role in ensuring optional functioning of our current asset as well as integrating the new facilities, commission and acquired. With his extensive experience in Europe, Patrick will also work to optimize our processes and strengthen the relationship between our European and North American entities. At the same time, I welcome the arrival of Nicolas Wolff, who's assuming the leadership of Boralex Europe since the end of April. With a solid track record in the renewable energy sector, he will certainly take a masterful hand to developing and operating our European activities. Let's talk now about our results. With growth of 39% in our production, 27% in sales, 34% in EBITDA, 30% in net earnings and 46% in cash flow, I guess we can agree that this was a strong start of the year for Boralex. Our first quarter results reflect the value of our strategy and the benefits of our most recent transaction. First quarter was also a very strong quarter for wind production in Canada, especially in Québec. Not only did our comparable operation benefited from this, but our most recent acquisition of Invenergy participation also benefited from it. In fact, this production was 31% higher than the anticipated production. France had a very strong month in March. This translated into production, 5% above the anticipated production for the quarter for comparable assets. Production was 5% lower than last year, but last year was a very strong quarter for France. In the first quarter, we've commissioned 2 wind farms that were part of our growth path. First in France, the Basse Thiérache Nord wind farm was commissioned earlier than expected, adding 20 megawatts of production capacity. We also commissioned the 15-megawatt wind plant on Moose Lake on April 4, our first foray into the sector in British Columbia. Near Stet the Yellow Falls power station, which was expected to obtain confirmation of COD and the PPA in the first quarter, together within the coming weeks. Finally, work is well underway to deliver the full capacity of Buckingham power station with the completion expected in the second half of the year. Before talking about our growth path, I would like to provide an update on the Moulins du Lohan project. If you recall, on March 5, the administrative court of appeal have not rendered a decision favorable to Boralex but yesterday, the Société pour la protection des paysages et de l’esthétique de la France has indicated by way of a press release that it intended to challenge the decision in the Administrative Court of Appeals and will file an appeal in cassation to the Council of State. Be sure that more information when we'll give the official notification. As indicated in our growth path, by the end of 2020, we will have five more wind farms to our French network. We just added a 17-megawatt wind farm project called Extension Seuil de Bapaume to our growth path. Also, the 3 projects representing 32 megawatts were approved by our Board of Directors earlier this week and will be added to the growth plan as soon as we have received permits, are obtained. On top of these projects, we will count on our portfolio of potential projects in France for a total of 1000 megawatts and our 50% in tariffs in the 300-megawatt portfolio in Scotland. A number of projects are in the advanced stage and are expected to enter the growth path once all the administrative requirements have been met. Note that out of the portfolio projects, we submitted bids totaling 118 megawatts at the beginning of April under the most recent call for tender for 500 megawatts in France. We're expecting news in the coming months on two. That being said, we continue to believe there is a strong growth potential in our different sector of activities. As you know, we've embarked on our strategic planning update and will be providing details of our Investors Day on June 18. I will however, share with you high-level preview of what to expect from Boralex in the coming years. All-in all, we can confirm that wind power will remain key growth driver for us. We can expect that it will continue to account for the largest percentage of our installed capacity. At the same time, we plan to increase our effort to withstand our presence in solar energy, while also looking at technologies that allow energy to be stored, an increasingly important activity, and we will gradually introduce new complementary value-added services by optimizing the strengths of our new various teams. We will continue to focus our action on the geographic markets, mainly North America and Europe. In Europe, we will focus on accelerating our development in France, a country that still offers significant growth potential for both wind and solar energy and where we visited from strong advantages and recognized expertise. We will continue to develop our activities in the United Kingdom as planned. In North America, we're considering breaking into the network of small- and medium-sized solar energy facilities in the United States, a market where competition is less intense given the size and complexity of these projects. In fact, it will allow us to redeploy part of our team, and development opportunities in Canada are fewer and further between over the short and medium-term. As market conditions becomes more and more competitive, we will be favoring partnerships when acquiring or developing facilities. We'll also be developing cost-effective solution for a shorter-term agreement, including negotiating agreement directly with electricity-consuming business.  Note that this transition will be gradual. However, and that it will continue to rely on significant cash flows of our arm, from operations generated by long-term contracts for many years to come. I recognize that this is a very brief overview of what we will be focusing on in the coming years. We will be able to present much more complete certainty, more comprehensive picture on June 18. Further details and official invitation will be provided shortly for this event. I will now let Bruno cover the financial results in more detail and will be back later with questions. Bruno?
Bruno Guilmette: Thank you, Patrick, and good morning, everyone. As most of the financial information has already been covered in our press release and MD&A, I will highlight the key elements of our results on this call. Starting with wind production on Slide 13 of our presentation. As Patrick mentioned, we had very strong wind conditions during the quarter in almost all regions of Canada, especially in Québec. As a result, production was 14% higher than last year on a comparable basis, and 8% higher than the anticipated production. Overall production growth in Canada was 43% higher than last year, including the NRWF compensated volume. Please note that the compensation of NRWF was lower than last year due to less curtailment requests made by IESO. I would like to remind you that anticipated production is calculated using historical averages for some of the older sites and production forecasts for the rest of the sites. If you notice any change, it's only in the warning. The methodology remains the same. Looking at the acquisition line, the assets purchased from Invenergy produced 31% higher energy than anticipated. Moving now to wind in France. Overall growth over the first quarter of 2018 was 41%, while comparable production was 5% lower than the very strong first quarter last year, which had generated an 18% growth over 2017. It was 5% higher than anticipated production and 4% higher for the Kallista assets. Total wind production combining Canada and France was 5% higher than last year on a comparable basis and 7% higher than anticipated production. Moving to Slide 15, the U.S. hydro production was 13% higher than last year and 24% higher than anticipated production. In Canada, comparable hydro production was 7% lower than last year and 12% lower than anticipated production. And finally, thermal production was 17% higher than last year but 10% lower than anticipated production. And solar was higher than last year and in line with anticipated production. I won't spend too much time on revenues as they follow pretty much the same pattern as production and you can take the numbers on your slides. On to Slide 17 for EBITDA. As expected, given strong growth in wind production in Canada and contribution for the acquisition and commissioning of new sites, total EBITDA was $154 million or 34% higher than in the first quarter of 2018. EBITDA for the wind sector was $152 million, 36% higher than last year. Wind EBITDA in Canada grew by 37%, and in France by 33%. Hydro EBITDA was down $2 million compared to last year, but would've been up $1 million when excluding the effect of the closure of Buckingham for work to increase capacity, which is to be completed in the second half of the year. EBITDA of the thermal sector was up $2 million or 27% as last year's Santerre operations had an equipment breakage. Solar was stable at $1 million contribution to the EBITDA. A corporate expenses were also stable at $13 million. I would like to spend some time now explaining at a high level the implication for Boralex of the new IFRS 16 accounting policy. Not simple, but it's now in effect, so let's go. As you know this new policy requires to discount future lease payments. And by the way you can find the information on Slides 18 and 19. As you know, this new policy requires to discount future lease payments and register the right-of-use assets and the lease liability on the balance sheet. For Boralex, we recorded the right-of-use of $242 million, $191 million relating to leases and a $51 million reclass, our project reclass and equipment to right-of-use. We're presenting the estimated value for land restoration. On the liability side, we recorded a $197 million lease liability as well as other small adjustments. On the income statement, what used to be paid as rent is now slated to an amortization charge and financial charge. The effect to the EBITDA was a $3 million favorable impact on EBITDA in the first quarter. At the net earnings level the effect is a reduction of $3 million. Please note that for upcoming quarters, the effect should be slightly higher. On the cash flow statement, IFRS 16 has no impact. As I said, this is a very high-level explanation. You will find much more detailed information in the Accounting Policy section of our MD&A and on all 3 of our financial statements. Moving on to cash flow on Slide 20, we generated $101 million of IFRS cash flow from operations in the first quarter, a 30% increase over last year. We also reimbursed $58 million of project-related debt. On a combined cash flow basis, we generated $121 million. AFFO was $44 million, a 38% increase over last year.  Given the strong AFFO generated in the first quarter, our distribution ratio now stands at 75% compared to 85% at the end of 2018. This ratio is still above our 40% to 60% targeted distribution ratio, but we expect to end the year with a ratio within our targeted range, presuming we meet our anticipated production. Finally, our financial position remains solid with our net debt to total market cap ratio down from 65% on December 31 to 62% on March 31, 2019. In conclusion, as you can expect, we're quite happy with the strong first quarter. We will continue to apply strong discipline in the selection of projects and capital allocation in order to create sustainable shareholder value, and we're looking forward to presenting you the details of our new plan and objectives at our upcoming Investor Day on June 19. Thank you very much for your attention. We are now ready to take your questions.
Operator: [Operator Instructions] [Foreign Language] You're first question comes from the line of Sean Steuart with TD Securities. Please go ahead.
Sean Steuart: Thanks and good morning everyone. Thanks for the additional disclosure this quarter, much appreciated, very helpful. First question, the U.S. solar prospects that you're targeting, and at the risk of stealing your thunder for the Investor Day on June 18, can you give any detail on what stage projects are looking at? Are these construction-ready? Or earlier-stage development opportunities? And I guess why not prospective growth in U.S. wins as well? Maybe run through the risk/reward perceptions from you're perspective on solar versus wind in the U.S?
Patrick Lemaire: I'm going to say there is more opportunity on solar, as we speak, in certain – it’s a Northeast state. I won't mention which one, because as you mentioned, I don’t want to say, I can't say everything I want to say until June 18. But it's going to be a Northeast state that we're going to focus on, and like I said, there's a lot of opportunities for solar over there.  And the reason why small and medium-sized, in those states, is because then the process is more complicated than the Midwest to get all the permitting and this is the reason why we're going to focus there. We're not saying no to wind, but there are less opportunities on wind and different RFPs and different governments are forwarding now, or looking at it.
Sean Steuart: Okay. Wondering if you could provide any context on what's going on with the joint venture in Scotland? I think, last quarter, you mentioned you're in the late stages of permitting a 90-megawatt chunk of that portfolio. Any update you can provide there?
Patrick Lemaire: Well, I've mentioned, we're still looking for that – I didn't mention it, but we are still waiting for the permitting. It was expected to be out in the first quarter, and now it's – we're looking at it in the second quarter. So we're – we are as eager, using the right word, to get it as you are. So we're – it's in the end of the different administrations. So we're looking into that.
Operator: You're next question comes from the line of David Quezada from Raymond James. Please go ahead.
David Quezada: My first question here, just on France. I know that they've relaxed their requirements for environmental permitting on the most recent tender round. I'm wondering if you expect that will result on a significantly larger number of projects being bid. And is there any potential for them to further relax those requirements and accelerate development there?
Patrick Lemaire: I think it's going to be, I'm going to say pressured. Yes, we expect to be more competitive and to have more projects, more project being submitted in the net RFP. And let's say then to answer your second question, are they going to do something for the next one? It's going to depend. If there is, let's say, a oversubscription or, it's not the right word, but if there is more project than the 500-megawatt being in the bid, I'm pretty sure they're going to maintain these parameters. If there's less, we can be – I'm sure we will relax then because then I think, we want to accelerate. We still want, when thinking about wind, over 10,000 megawatts in the next 5 to 6 years. So new projects, we need to do something like that.
David Quezada: Okay. Fair enough. That's good color. And then maybe just one other question, also on France. Now that we're into the – I guess, you're maybe into the tendering system as opposed to the old fixed contract system. Can you talk about at all how the PPA prices have changed compared to the old system? And if returns have changed at all?
Patrick Lemaire: The PPA, if you recall, we go from 15 to 20 years in the new RFP systems, so this is a major change. For sure the price or, let's say, the rate we should get are going to be more competitive than it was before because it's a big comparison. We were, let's say very successful and it was double-digit returns in the last RFP where we won 2 projects and that. So I'm sure this one is going to be more competitive so there'll be – it's going to put a little stress on the returns as pressure. I hope I'm answering your question but that's what I can say.
Operator: Your next question comes from the line of Rupert Merer from National Bank. Please go ahead.
Rupert Merer: You mentioned 32 megawatts of projects in France that you believe will move to the construction pipeline soon. Were those FIT projects? And can you give us a little more color on what your level of confidence is on having those projects in the fort?
Patrick Lemaire: They're not FIT projects. All come from different projects. And the reason why they will – they were, like I said, they were approved by the Board with minor changes because all these three projects to, let's say, better the return we asked for a turbine improvement or change, buy a little larger turbine or more than 1 turbine, which in the past, we were – we have a success rate of 100% in the permitting of docks. So till we get the official permitting for that, we don't put them the growth path, but as soon as we get it, and we should get – we should expect – the reason why it was approved now because we expect them to – we expect to get these permits within the next 3 months, before the next Board. So that's the only reason why we had them approved.
Rupert Merer: Okay. Great. And then the French RFP submitted 118 megawatts. Do you how many megawatts were submitted in total by Boralex and by competitors? And when do you anticipate to hear about awards on those – that from an RFP?
Patrick Lemaire: Yes. I'm sorry, your second part of the question is...
Rupert Merer: When do you anticipate – when do you hear about...
Patrick Lemaire: One to 2 months that we expect the results of this RFP. And on your first question, we have not seen and our French team have not forwarded to us any information regarding the numbers of megawatts that were submitted. So... But as far as we are concerned, 118, as we mentioned in the call and the call was for a 500-megawatt, so that was the overall request for bid.
Rupert Merer: And just a quick follow-up. When would the next RFP come forward if you don't win in this one? Or if you want to bring forward some other projects?
Patrick Lemaire: Yes. There's supposed to be 3 RFP this year. So there was one in April, should be one in June or July and one other one at the end of the year, so totaling over 1,500 megawatts. So this is what it's supposed to be. So...
Operator: Your next question comes from the line of Nelson Ng from RBC Capital Markets. Please go ahead.
Nelson Ng: Great. Congrats on the strong results this quarter. Just a quick follow-up on the Northeast U.S. solar projects. Can you give a bit more color on – I think you talked about potentially doing bilateral contracts, but could you comment on your – whether you're comfortable taking some merchant exposure? And pretty much shorter-term contracts, and I guess generally trying to manage the contracts on a rolling basis in terms of future solar projects in the U.S?
Patrick Lemaire: In the U.S, as you know, there are, you recall – as we know, the RFP in the state that we're looking at, there are no official, let's say, firm PPA or rate. So it's going to be a mix of risk, hedging – could be some hedging done on electricity. There could be some corporate PPA. So it will be a mix of all this that we're going to do in the state. So to answer your questions, is going to be A, B, C or D, it's going to be, depending on what the purchasing price of project. There are these different things that are also signing deals. Let's say the terms are going to be different than it was. It could be 10 years, 15 years and 20 years it is going to be. So no it won't be like that. As we saw – as much as we saw before. So it's going to be shorter terms. But this, let's say, the trend of the future, at least for the state and for other countries. And United Kingdom ..
Bruno Guilmette: Just to follow up on this. Just to mention that the Investor Day is on June 18. Our customer team, development team will provide a full presentation on that and other opportunities that we see in North America, so...
Nelson Ng: Okay. And then just in terms of – you mentioned small and medium-size solar projects. Does that mean it's smaller than like 10 megawatts? Or what are we – what do you consider a medium-sized solar project?
Patrick Lemaire: Just be there on June 18.
Nelson Ng: Okay. I'll switch the subject a little bit. Moving on to offshore wind in France, you previously indicated that the Dunkirk wind project no longer meets your investment criteria. Could you just elaborate more on the process? And I guess, what was it that – was it just the level of competitive tension that caused the return to potentially not be behind that, for taking that level of risk? Could you just give more color on the process? And why you no longer feel it meets your criteria?
Patrick Lemaire: It's a question on capital allocation. I think Boralex, and thinking about France, if Boralex had no projects, no pipelines and we still needed to grow, we always still need to grow, but – and so by increasing the risk – because the risk factor in this RFP was higher than what we expect on onshore, or what we know of onshore. And we have a pipeline of projects. So to – for us, to put money at risk – development money at risk compared to focusing on the 1,000 megawatts that we have, it was a question of, "Okay, why do I need to take this risk, higher risk?" And it's an offshore, when I have 1,000 megawatts of pipeline to develop. So it came down to that. It didn't meet our risk criteria knowing that we have growth potential compared to none. So this is mainly what it was.
Bruno Guilmette: And just to add a little to what Patrick was saying, it was also a specific decision on that project. We're not closing the door on future offshore projects. We're looking at fixed and other ones. So it's really a question of that specific dynamic.
Nelson Ng: And then on offshore wind, like, in general, like what type of ownership interest do you typically take on offshore wind? I feel like it's minority, but generally, what are you looking at?
Bruno Guilmette: Focusing on larger. I mean it's really a question of us finding the partners and the appropriate partner, the appropriate skill sets in the group. And given the size, I mean, you know about how much we can put in terms of amount of money in a project. So the larger the project will be significant minority. We won't – I mean gain too small can be difficult. But if a project is large, it's going to be significant minority investor that's when we'll take it on a case-by-case basis.
Nelson Ng: Okay. And just 1 last question before I get back in the queue. There was one disclosure about the local content to see with hydro could back on – like plateau, one, on that project. Has other projects in Québec not met their kind of local content requirements? And generally, what's been the outcome and the size of the penalties? Like what should we expect on a worst-case scenario?
Patrick Lemaire: Well, all projects in Québec are equipped with Enercon technology, are at the same boat, as we speak. In other words, I – different contractual interpretation that high-speed HQ and Enercon cause, and the way we calculate the local content. So having other projects equipped with Enercon, we know as a matter fact that the plant to our – was sort of the proxy for all other projects. The – I believe, there're 18 projects equipped with Enercon machines that are – that will sort of be the same situation. So that's – so the – to our knowledge, no penalties have been imposed with respect to local content, either these projects or from previous RFPs. So it's possible for us to quantify if there is to be penalties, how much they would be.
Bruno Guilmette: And just – there are some who are speaking who are RFP legals. So, who was speaking. No one. So some of the projects have different type criteria for local content than the plateau. So I mean this one is the one we've had specific requests or claim from Hydro-Québec. But essentially our position is still the same on that. Contractually, we're – we have a back-to-back on that topic specifically in our contract – projects contract with Enercon, and therefore, we feel it's Enercon's responsibility to abide by these local content rules and also to provide the information because I'll also remind you that so far as it's more a dispute on different calculating methodologies. So there's no amount fixed and there's no precise numbers that are available.
Operator: Your next question comes from the line of Ben Pham from BMO. Please go ahead.
Ben Pham: Wanted to go into the Q results. A question on the French wind, 5% above average. And I'm just wondering if you can comment on just what was driving the – if you look at each month, there looks to be quite a bit of volatility from what we're seeing. January, February was quite weak and then March had a big upsurge. Is that typical from what you've seen historically in terms of month-to-month volatility? Or is this – do you see France as a market as being – that's moving quite more volatile on the wind resource side?
Patrick Lemaire: Well, it's hard to comment because what are your question. Because I don't recall 2018 and was too low January and February, and March was strong. It's – I have not paid attention or compared the quarter on a monthly basis. But you're right with what you're saying. January, February were low months on wind and then March was very, very strong for the first 15 days and so – and the rest of the month was, let's say, either at LTA. So no, I don't – we don't see no trend of being different than it was before. We had, let's say, past years were low in certain quarters, good on other quarters. And so what we see and from the kind of numbers we see, we have no one giving us indication or confirming that the wind in France is being forecast to be lower than it was the, let's say, the average years, at least the last 10 years of average. So up to now, no expert have come up with, let's say, a different vision or different forecast than we've seen in the past. For sure, the last two or, let's say, more 2016 and 2017 did have an impact on long-term average, but it's small compared to a 10-year average and in back of 5%, could be 1% or 2%.
Ben Pham: Okay. Just checking because it just seems like you're correct. You look at the long-term average, it looks like it's hitting long-term. But I guess, I mean, we're spending a bit more time on it. It seems like it's a bit more upper end, and lower end of the range seems to be more extended here. I mean that's a false observation. Can you talk about the Cube debt? And what's the plan for refinancing that?
Bruno Guilmette: The Cube debt was refinanced in early April.
Patrick Lemaire: End of April.
Bruno Guilmette: End of April, sorry.
Ben Pham: Okay. So you put on your credit facility, is that what happened?
Guy D'Aoust: Hi, this is Guy D'Aoust. We did a new five-year deal with. So we replaced Cube with a new sub debt in France for the same amount, EUR 40 million. That was done April 29 or April 25, if I recall. So we're good for the next 5-year, at least, on new structures.
Ben Pham: Okay. And maybe lastly, just looking, you've got the strategic review coming up and you mentioned what you like and what you're looking at from a growth perspective. But what are your thoughts on the hydro assets? And is there anything you're looking to sell in your overall portfolio?
Patrick Lemaire: We have – this isn't part of our, let's say, strategic planning or vision that selling assets is going to be, let's say, the way to the future. So we don't intend selling those as we speak. But they're still bringing steady cash flows, so we're still using this to fuel our growth and cash flows.
Bruno Guilmette: If opportunities arise, we'll look at them. But it's going to be on an opportunistic basis, so like a budget basis.
Patrick Lemaire: I'm sorry just to add on that but, if not from a selling point of view but going forward in our development, what's probably going to see a bit more is partnership in some, either acquisitions or development and that will be also covered in our Investor Day on June 18. And how we intend to fuel our growth and...
Bruno Guilmette: Optimize our return.
Patrick Lemaire: Optimize our returns.
Operator: Your next question comes from the line of Mark Jarvi from CIBC. Please go ahead.
Mark Jarvi: Just going on your comments about the 32 megawatts and getting Board approval now. Does that imply that if you get all the permits, you would be looking to start construction immediately? Are those projects that you'd like to break ground in 2019 and have online some point in 2020?
Patrick Lemaire: No, it's going to be – if we get all the permitting it's going to be '20 or '21, so. But the thing is to sign a turbine manufacturer deal as soon as we get the permitting and this is why, once we get everything okayed, to be able to get, let's say, the COD as soon as possible, that's the reason why we've done review now. If we get within the quarter then we're only – we're still negotiating – or we had negotiation done in some other form in the turbine. And we only need – once we get the permit move ahead, so be able to – put these assets in operation – - in operation as soon as possible.
Mark Jarvi: Okay. And then moving on, same or similar question, to the project submitted into the RFP. What time lines would you think those projects could be brought into production, if you're successful?
Patrick Lemaire: I'm not for all this with the idea they have changed, but usually it's 3 years. Once you get the RFP, once you sign the BPA or the contract with the firm, you have 3 years to put them in operation. And always, if you exceed the 3 years, you lose on the term of your PPA. And also, if you get interconnection delays by the utility, it extends your 3 years by the delay of interconnection. Or if you get a recourse on the permit – there is a recourse delay, yes? The recourse on the permit, then you get extended over the 3 years. This is what it usually is. So to me, this is – I'm still in the understanding that it's the same rules. So...
Mark Jarvi: So if you're, again, successful in you subsequent RFPs, this is kind of filling in the 3 to 4 years sort of growth horizon?
Patrick Lemaire: Yes.
Mark Jarvi: Yes. Okay. And then coming back to some questions on debt. I think last call we talked about some opportunities to refinance and you guys are moving ahead and looking at some options both in Canada and France. Suggested maybe Q2 time line for Canada, and second half, for France. Are those still time lines? And refinance opportunities still something you're targeting?
Bruno Guilmette: Yes, these timelines are still appropriate.
Mark Jarvi: Okay. And then last question. I know you guys are making success here on the organic side, but what are you seeing in France in terms of either small portfolios of either operating or development assets? And is M&A something you guys still consider for some tuck-in deals in France?
Patrick Lemaire: Oh yes. But it's on an opportunity basis. So we're focusing, let's say, hunting new acquisition, but there's still let's say, some process being done as we speak. But we need to have the right ingredients. So to buy asset, operating asset with nothing else, no synergies on operation, no development pipeline we're not competitive. So the returns are too low. So they'll need to be more. So some are being – we get, let's say, teasers, but when there's nothing else than the assets we are not interested.
Operator: Your next question comes from the line of Jeremy Rosenfield from Industrial Alliance Securities. Please go ahead.
Jeremy Rosenfield: Can you just comment on sort of the high flow? Although it's been very wet in Québec and Northeast this spring, can you just comment, both in terms of the asset quality with all of the water? And any issues that you're seeing potentially resulting in greater maintenance that may come up later this year? And also specifically on Buckingham and how it may impact the time line for the upgrade?
Patrick Lemaire: We are – the way they are now, the rivers that we have power plant has been very, let's say – has been good for us. So there's only Buckingham there's been the high flow. And it is under construction. But there was nothing, no damage to the facility, and we don't expect any extension on, let's say, on the execution of the upgrade on – over there because of the high river flows. And because – and the other rivers where we have facilities, being, let's say, the watershed being a bit higher in the north then this has been dealt at differently. So we did get some flooding and all in the other facility. East Angus facility, which is a 2.1-megawatt facility adds some – let's say, some downtime a little bit because of too much trash in the, let's say, water intake. So this is the major thing that happened to us. So Mother Nature has been good for us the way the melting happening with the watershed that we had.
Operator: [Operator Instructions] Your next question comes from the line of Rupert Merer from National Bank. Please go ahead.
Rupert Merer: I saw some news about the - project in Québec. It looks like if Québec signs initial export agreements for power, there could be potential for that project? Can you give us a little more color?
Patrick Lemaire: I've met – no, no, I have not met, because I know him, I saw [indiscernible] about three weeks ago, and I reminded him when this Massachusetts contract is signed, I'll be knocking at his door. So that's as far as we went on that. So this is what I can tell you. So let's say, as soon as we know we've get conformation, for sure, we'll like mobile Boralex, it's going to be that we need to have the innovation to put pressure. But we'll support the innovation on that.
Rupert Merer: Okay. So I'll keep an eye on that. Getting back to the Le Plateau challenge, I don't know if you can give us any color on this, but do you have a sense of how far off Hydro-Québec and Enercon are on their local content calculations?
Bruno Guilmette: No.
Patrick Lemaire: Let's say, we'll know – we'll learn about this as the process goes on so – because we were not involved directly with the discussion between Enercon and Hydro-Québec. So as soon as we know more if we can, let's say unless we hold a discussion or are confidential financial, we can talk about – clarify the situation a little better.
Rupert Merer: Okay. Great. Then finally on debt reduction. So I see you closed the sale of some of the land in Scotland and France and repaid some debt. Is that all done now? Do you have any more land that is still for sale or you have to close?
Bruno Guilmette: Yes. There's – France is all sold. So there was only 1 big piece of land, other than – which was sold. Scotland was a number of smaller lands. So we've sold a portion of it, but there's still some of them out there that will – we're trying to sell.
Patrick Lemaire: Fairly small impact.
Bruno Guilmette: Yes.
Operator: [Foreign Language] There are no further questions at this time. I'll turn the call back over to management for closing remarks.
Patrick Lemaire: Well, thanks a lot everyone for your attention. If you have any additional questions, please call me at my number 514-213-1045. We'll make sure we answer your question rapidly. Our next event will be our AGM in about an hour, which you can listen to live webcast if you're not in Montréal. And so please, you could go on our website for details.  So and as I said before, the Investor Day will be held on June 18 in Toronto and more details to come in our second quarter results will be on August 18. So we wish you all be able to join us at our Investor Day, and good day, everyone and thank you.
Bruno Guilmette: Thank you very much.
Operator: [Foreign Language] This concludes today's conference call. You may now disconnect.